Operator: Welcome to Comtech Telecommunication Corp. first quarter fiscal 2008 earnings conference call. [Operator Instructions] I would now like to turn the conference over to Ms. [Stephanie LaMantia] of Comtech Telecommunications, please go ahead.
[Stephanie LaMantia]: Thank you and good morning. Welcome to the Comtech Telecommunications Corp. conference call for the first quarter of fiscal year 2008. With us on the call this morning are Fred Kornberg, President and Chief Executive Officer of Comtech, Robert Rouse, Executive Vice President and Chief Operating Officer and Michael Porcelain, Chief Financial Officer. The news release on the company’s results was issued yesterday afternoon. If you have not received a copy, please call me and I’ll be happy to send you one. Before we proceed I need to remind you of the company’s safe harbor language in the following way. Certain information presented in this call will include, but not be limited to information relating to the future performance and financial condition of the company. The plans and objectives of the company’s management and company’s assumptions regarding such performance and plans are forward looking in nature and involve certain significant risks and uncertainties. Actual results could differ materially from such forward looking information. Any forward looking statements are qualified in their entirety by cautionary statements contained in the company’s Securities and Exchange Commission filing. With that, I’m pleased to introduce the President of Comtech, Fred Kornberg.
Fred Kornberg: Good morning everyone and thank you for joining us today. I’m pleased to report once again a very strong first fiscal 2008 quarter, which supports my optimistic comments that I made on our last September earnings call, when I said that I expect that fiscal 2008 to be another year of record revenues and profits, our sixth year in a row. What’s more, this unprecedented growth has predominately been organic. Our company continues to benefit from the compelling product and technology solutions we offer as well as from the strengths, diversity and breadth of our business of our customers and of our end markets we operate in. Before I provide updated guidance for fiscal 2008, Mike Porcelain, our Chief Financial Officer will provide an overview of our financial results for the quarter and Rob Rouse our Chief Operating Officer will them provide an update on each of our three business segments. Mike.
Mike Porcelain: Good morning everyone. Let’s begin by reviewing some of the key income statement trends for the quarter ended October 31st. First quarter sales were $115.1 million compared to $97.1 million in the first quarter of fiscal 2007. The increase reflects significant growth in both our Mobil Data Communications and RF Microwave Amplifier segments, partially offset by lower net sales in our Telecommunications Transmission segment. Sales in our Telecommunications Transmission segment were $3.1 million lower in the first quarter of fiscal 2008 than in the first quarter of fiscal 2007. The decrease in net sales in the segment primarily reflect decreased sales of our Over the Horizon Microwave systems, partially offset by an increase in sales of our Satellite Earth Station products. Sales of our Over the Horizon Microwave equipment were negatively impacted by lower sales to the US DoD for a 16 megabits per second Tropocatter Modem Upgrade Kits for use on the TRC-170 Digital Tropocat Terminals, as well as lower sales both direct and indirect to our North African country and customer who we believe is between major phases of a multi year roll out of a large project. Sales of our Satellite Earth Station products were higher in Q1 2008 as we continue to benefit from increased demand for our bandwidth equipment Satellite Earth Station modems used in both commercial and government network applications. In our Mobile Data Communications segment, sales increased by $17.3 million, primarily due to the significant increase in deliveries to the US Army in connection with our new MTS and Blue Force Tracking IDIQ Contracts with the US Army that were awarded to us in August 2007. Our Q1 2007 sales for the Mobile Data Communications segment included sales of $1.2 million related to a favorable cumulative adjustment on our original MTS contract. Sales in our RF Microwave Amplifier segment increased by $3.8 million, primarily as a result of higher sales of our amplifiers and high powered switches that are incorporated into defense related systems, including sales associated with our participation in the Crew 2.1 Electronic Warfare Jamming Program. Of the company’s consolidated fiscal 2008 quarter sales, 30.6% were to international end users, 60.6% were to the US Government, and 8.8% were to domestic commercial customers. Gross profit increased to $50.5 million in the first quarter fiscal 2008 from $39.4 million. The increase in gross profit was primarily attributable to an increase in net sales as well as an increase in the gross profit percentage to 43.9% from 40.6%. Excluding the impact of a favorable cumulative gross profit adjustment of $1.1 million related to our original MTS Contract in last year, it would have been 39.9%. There were no favorable adjustments in our Q1 2008 results. The increase in gross profit percentage was driven by an increased gross margin in both our Mobile Data Communications and Telecommunication Transmission segments, partially offset by lower gross margins in our RF Microwave Amplifier segment. The increase in gross margins in our Mobile Data Communications segment was primarily the result of increased operating efficiencies relating to an increase in deliveries of orders placed under our new MTS and Blue Force Tracking Contracts and a more favorable product mix during the first quarter 2008, this compared to the first quarter of fiscal 2007. Our Telecommunications Transmission segment experienced higher gross margins as it benefited from increased usage of our high volume technology manufacturing center as well as a higher proportion of sales of Satellite Earth Station products which typically realized higher gross margins than our Over the Horizon Microwave systems. Our RF Microwave Amplifier segment experienced lower gross margins due to long production times associated with certain complex amplifiers than employ newer technology. On the expense side, SG&A expenses of $20.4 million for the first quarter of fiscal 2008 were $3.8 million higher than the first quarter of fiscal 2007. As a percentage of consolidated net sales, SG&A was 17.7% in the first quarter of fiscal 2008 compared to 17.1% on the first quarter of fiscal 2007. This increase was primarily attributable to an increase in costs, including legal and other professional service fees primarily associated with the various legal matters, including costs associated with responding to a subpoena at our Florida based subsidiary, Comtech Systems Inc., did receive when the US Immigration and Custom Enforcement branch of the Department of Homeland Security. In addition, SG&A expenses also increased due to higher payroll related expenses primarily amortization of stock based compensation which increased from $1.4 million to $2 million. The subpoena relates to Comtech Systems Contract with the Government of Brazil with potential revenue of approximately $2 million, all of which has not been recognized as revenue in any of our prior financial statements. We believe the subpoena relates to an investigation as to whether or not Comtech Systems, Inc. was in compliance with export related laws and regulations as it pertains to this specific contract. The company has engaged outside council to review this matter, all of which is more fully described in our 10-Q. The company is cooperating with the US Government and based on our review of the history of this contract, we believe that Comtech Systems made a good faith effort to comply with applicable regulations. Going forward and assuming no significant change or unexpected findings in the investigation, we do expect SG&A expenses as a percentage of sales to decrease during the remainder of fiscal 2008. The percentage for the full fiscal year 2008 is expected to be similar to that of fiscal 2007. Research and development expenses were $11 million in the first quarter of fiscal 2008, 53% higher than the $7.2 million in the first quarter of fiscal 2007. The increase in expenses primarily reflects our continued investment in research and development efforts across all of our operating segments. As Rob will discuss in more detail later, we do expect to continue to ramp up R&D throughout fiscal 2008 as compared to fiscal 2007. Amortization of intangibles was $400,000 and $600,000 for the three months ended October 31, 2007 and 2006 respectively, all of which relates to intangibles that we acquired in connection with prior acquisitions. Operating income for the three months ended October 31, 2007, was $18.7 million, compared to $15 million in the prior period. The increase was primarily attributable to the higher consolidated net sales and gross margins, partially offset by our increased operating expenses. Operating income for the first quarter of fiscal 2008 includes stock based compensation of $2.7 million, compared to $1.8 million in the first quarter of fiscal 2007. The increase in stock based compensation expense is primarily attributable to an increase in both the number and related fair value of stock based awards that are being amortized over the respective service periods. Interest expense, which primarily represents interest on our 2% convertible notes, was consistent between the fiscal quarters at approximately $700,000. Interest income increased from $3.2 million in the first quarter of fiscal 2007 to $4.4 million in the first quarter of fiscal 2008, primarily due to an increase in investable cash since October 31, 2006, partially offset by a slight decline in interest rates. The affective tax rate for the first quarter of fiscal 2008 was 34.5% compared to 38% in the same period last year. The decrease in the affective tax rate primarily reflects the passage of legislation extending the federal research and experimentation credit through December 2007, as well as anticipated deductions associated with cash incentive awards expected to be paid under our 2000 stock incentive plan without limitation under Section 162M of the Internal Revenue Code. As well as the scheduled phase in of the deduction for domestic production activities offset by the repeal of the extra territorial income exclusion. In addition, we did record a discrete tax benefit of approximately $100,000 related to disqualifying dispositions of incentive stock options. On a Non-GAAP basis, which excludes the impact of stock based compensation, the affective tax rate for the first quarter fiscal 2008 would be 34.5% compared to the Non-GAAP affective tax rate for the first quarter of fiscal 2007 of 37%. Going forward, and excluding the discrete item I mentioned above, we expect our GAAP affective tax rate for fiscal 2008 will be approximately 34.75%. Because we believe that many investors may continue to measure our operating results before the expense in the stock based compensation, we intend to continue to disclose on a pro-forma basis our earnings excluding stock option expense. With that in mind, net income for the first quarter of fiscal 2008 would have been $16.5 million or $.59 per diluted share versus Non-GAAP net income for the first quarter of fiscal 2007 of $12.1 million or $.45 per diluted share. GAAP net income for the first quarter 2008 was $14.7 million or $.54 per diluted share compared to $10.8 million or $.41 per diluted share for the first quarter of fiscal 2007. Earnings before interest, taxes, depreciation and amortization or EBITDA was $23.9 million for the first quarter of fiscal 2008 compared to $19.2 million for the first quarter of fiscal 2007. Cash flow used in operating activities for the first quarter of fiscal 2008 was $9.7 million compared to cash flow used in operating activities of $3.6 million in the first quarter of fiscal 2007. Primarily reflecting several factors including the significant increase in accounts receivable due to the timing of shipments to our customers, primarily to the US Government, as well as a build up of related inventory anticipated to be shipped throughout 2008. Our cash flow was also negatively impacted by the timing of payments of our fiscal 2007 incentive compensation awards and the net impact of normal changes in other working capital accounts. Our cash balance at the end of the first quarter of fiscal 2008 was approximately $333 million. We enter Q2 2008 with a very strong backlog, as of October 31st, our backlog was $248.9 million, this compares to $129 million as of July 31, 2007. In summary, the first quarter of fiscal 2008 was a solid start to another anticipated record year for Comtech. Now to Rob who will discuss recent developments in our operating segments, Rob.
Robert Rouse: Good morning and thank all of you for joining the call today. I will provide an update on the key opportunities, issues and trends pertinent to each of our businesses. In Telecommunications Transmission, we developed products and systems used to either increase data though put, minimize satellite data transponder costs and enhance satellite network bandwidth deficiency, or enable wireless communications in environments where terrestrial communications are unavailable, inefficient or too expensive. This segment, as you know, is comprised of two major product lines; Satellite Earth Station products and Over the Horizon Microwave systems. Our Satellite Earth Station product line experienced very strong bookings in Q1. We believe that our newer modems, the Carrier-in-Carrier enabled CDM-Qx that addressed the commercial market, and the government focused SLM-5650 Modem have gained significant attention in the market as customers have gained appreciation for the significant satellite bandwidth savings and other features offered by the industry leading products. The CDM-Qx modem is among the most powerful products we have ever delivered to the marketplace. The up to 50% reduction in satellite transponder costs generated by this product for our customers has driven significant sequential quarterly bookings growth of this product over the past few quarters with no signs of slowing. The bandwidth savings from the CDM-Qx are incremental to our operational savings resulting from other techniques we offer, such as our patented Forward Error Correction Technology. During the first quarter we also introduced the CLO-10 Link Optimizer, a stand alone Carrier-in-Carrier enabling product that targets customers requiring Carrier-in-Carrier bandwidth efficiencies. These can be current or potential modem customers for us that want to continue to use their existing modems but at the same time benefit from the compelling value proposition offered by Carrier-in-Carrier Technology. The CLO-10 has proven to be a powerful door opener with new customers. By selling it to new customers as a power intermediate solution we believe we will be able to position ourselves for the sale of CDM-Qx modems at the time those customers chose to upgrade their installed based of existing modems. In fact, in Q1 we received our first CLO-10 order for $800,000 from an Asian carrier and also sold the CLO-10 to a well know US based communications company. We are highly optimistic about the product based on initial customer feedback. The SLM-5650 continues to generate very strong interest within the various agencies of the US Government. During the quarter we generated solid bookings from contract wins related to the 5650 as well as the 5650A modem. The 5650A is fully compatible with the FIPS-140-2 Government Securities Standard and has an advanced network processor able to handle 150 megabits per second of TCP-IP traffic. This product is expected to continue to strengthen our growing presence and market share with the US Government. The SLM-5650 or SLM-5650A can be bundled with our Turbo IP Performance Enhancement Proxy, which accelerates transmission control sessions or TCP as well as our Vipersat Network Management Solution. These products in different configurations have been sold to the various government agencies as well as the Department of Defense. Additionally, we announced a $5.3 million order from the Air Force for the HDRRF or high data radio frequency ground modem for deployment in the next generation wide band global sat com satellites program that is focused on intelligence, surveillance and reconnaissance. Our highly integrated manufacturing facility has proven to also be an important competitive advantage with the US Government. A combination of the governments built in America preference, the vertical integration of our primary manufacturing processes and our recent achievement of the rigorous AS9100 Revision B Quality Management Certification, have been factors in winning support from important government decision makers. With our decision a few years ago to aggressively expand our efforts with the US Government, both with powerful products and the strength in government sales team we are recognized today as one of the Governments primary strategic suppliers of satellite transmission technology. Now let’s discuss Over the Horizon Microwave systems. Over the Horizon Microwave systems, the other product line within our Telecommunications Transmission segment, provide highly secure point to point communications transmission using the Troposphere, a layer of the atmosphere seven miles above the earth to reflect the signal from one terminal to the other. Due to the complexity of the technology, we not only develop and manufacture the hardware, but we often act as the systems integrator to ensure the quality of the communication link. We are the defacto market leader as we remain committed to innovation and customer service in this area for more than three decades. As predicted, sales and bookings for this product line remained modest in Q1, as we wait for additional orders from the US Government for the TRC-170 modem upgrade program and the awarding of at least one new contract with our North African end customer. We are in active discussion with two prime contractors and our North African end customer and continue to work towards one or two contract awards by the end of fiscal 2008, that we believe may exceed $40 million each. As mentioned on our last investor call, we expect to see the revenue from these contracts recognized in fiscal 2009 and beyond. While we are disappointed with the longer than expected delays we remain very bullish on our position with this customer and the potential size of these important opportunities. With respect to the TRC-170 program, we continue to anticipate additional orders for modem upgrade kits during fiscal 2008, in fact, this morning we announced the $4.9 million order for additional upgrade kits. To date, not including the order we received this morning, we have upgrade approximately 250 TRC-170 terminals and estimate that there are between 200 and 250 terminals yet to be upgraded. It is our understanding that many of these yet to be upgraded terminals are in use overseas today, operating at low data rates, thereby strengthening our confidence in their importance to the DoD and the value to the end user of upgrading the modem speeds. As a reminder, the TRC-170’s are military Over the Horizon Microwave terminals that were initially built 20 or more years ago and that have been used in a reduced capacity over the past several years. The US Governments decision to embrace Tropo has been two fold. First, the significant advances that we have made in throughput speed now allow the transmission of color video and other bandwidth rich applications, secondly, the ability to off load mid range satellite traffic on to Tropo links is critical to the DoD’s goal of alleviating some of the shortage in satellite bandwidth supply. We also continue to make solid progress in our goal to develop new international customer for a Tropo technology and we will provide more details on these opportunities as they become clearer. In conclusion, our Telecommunications Transmission segment continues to solidify its position as the clear market leader. We continue to differentiate ourselves with market leading technology and an unparalleled depth of experience. Now on to our Mobile Data Communications segment. In the period after the August 31, 2007, award of two new IDIQ Contracts from the US Army, totaling $821 million, we have received a series of orders under our Movement Tracking System or MTS contract and our Force21 battle command brigade and below or Blue Force Tracking Contract. In addition to the aggregate contract awards being the largest in our company’s history, the aggregate orders received in just this segment, in the first quarter, were $159.5 million, a clear record. MTS is a $605 million IDIQ Contract for the US Army’s Movement Tracking System, which if options are exercised, runs through July 2010. Our product offering here is a satellite based system that enables position location, vehicle tracking and near real time messaging for logistics vehicles. Comtech is the prime contractor and systems integrator on this program and provides a turnkey system including the design and development of hardware and software, the manufacturing of the transceiver, the integration testing and fielding of all system components, the procurement of satellite air time for the customer and the management and operation of a world wide satellite network that facilitates tracking and communications thousands of mobile assets. Blue Force Tracking is a $216 million IDIQ Contract with Secom Communications Electronics Command, to provide the satellite communications backbone for a battle command in real time situational awareness and control system. Under this contract, whose term is through December 2011, we will provide mobile satellite transceivers, satellite bandwidth, satellite network operations, engineering services and program management for the BFT system. Blue Force Tracking is a critical program for the US Army and is recognized as an essential part of the DoD communications infrastructure in Iraq and Afghanistan. It has become one of the higher profile Army programs as a result of its effectiveness in overcoming terrestrial communication distance limitations and its ability to reliably operate in the extreme environmental conditions encountered in the current operational theaters. We are highly focused on further improving the transmission and performance of our satellite network and our investing aggressively in important internal R&D projects to increase network speed, improve bandwidth utilization, and add functionality to maximize the value of our products and solutions for the current systems and users as well as other military and commercial customers that have requirements for increased bandwidth, lower latency and secure data communications. We recently received FIPS 140-2 Validation Certification from the National Institute for Standards and Technology for the MTM-203 Miniature Satellite Transceiver Module. The MTM-203 is a miniature L-Band satellite transceiver module designed for use in conjunction with our worldwide satellite network. The modules form factor in global communications capabilities make it ideal for integration to major communication systems, integration into handheld or dismounted communication products or for use as a stand along transceiver when combined with one of our antennas. The MTM-203 is the cornerstone technology for Mobile Data’s next generation mobile satellite communications products and services including MTS and Blue Force Tracking. Mobile Data’s exciting technology initiatives are the primary driver behind the significant increase in our overall R&D expense in Q1 and for the remainder of fiscal 2008. We are delighted at the opportunity to continue to serve our key US Army customers while also looking for opportunities to introduce our unique technology and products to new customers in related markets. In a small way, this has already begun, as evidenced by our participation in the international arena, with contract wins from the Australian Defense Force, Republic of Georgia and NATO. Based on the unprecedented bookings I referred to earlier in Q1, we believe if framework is clearly in place for our Mobile Data segment to generate record sales in fiscal 2008. The following is an overview of the primarily underlying DoD budget and bookings activity that support our strong outlook in fiscal 2008. First, the Army’s MTS budget for the Governments fiscal 2008 totals $273.1 million, which includes a $73.2 million based appropriation, $69.9 million of global war on terrorism funding and a significant upward adjustment for global war on terrorism of $129.9 million. It is important to point out that both the original and adjusted global war on terrorism funding budget numbers, aggregating approximately $200 million have not yet been appropriated and therefore funding requires resolution of certain budget and policy disagreements between the President and Congress, which have been well publicized in recent weeks. We believe that the MTS fiscal 2008 base funding alone already appropriated is comfortably sufficient to meet the additional MTS orders that anticipate booking and delivering and converting into revenue in fiscal 2008. If ultimately approved, the balance of the core funding as well as the vast majority of the global war on terrorism funding would drive revenue in fiscal 2009. It is also our understanding that the high profile MRAP initiatives are driving meaningful demand for our Mobile Data Communications products and opening up additional discretionary funding sources outside of the core MTS and Blue Force Tracking budget lines. We announced $42.7 million in aggregate bookings from the US Army National Guard in July and August, the large majority of which will convert to sales in Q2. Our Blue Force Tracking bookings in Q1 alone totaled $55.3 million. As a result of the concentration of large orders that occurred late in Q4 of 07’ and early in Q1 of 08’, we currently expect Q2 of 08’ to be a peak revenue quarter within fiscal 2008. In summary, we are devoting significant resources to executing on the large Q1 orders we received, while spending on R&D to expand our products and solutions further into the US Government as well as with other US allies around the world. On to our third segment, based on strong sales and bookings in Q1 we are very confident that our RF Microwave Amplifier segment will experience significant sales growth in fiscal 2008. There are a number of factors driving the growth of this segment. Our strong bid and proposal activity has resulted in a broad number of program wins that has created a well diversified and strong backlog from our global and prime contract customers. In fact, we end the first quarter of fiscal 08’ with the higher quarter ending backlog in this segments history at $47.8 million. Crew 2.1 is obviously an important component of our momentum in the segment. Since the programs inception, we have received orders with an aggregate value of $16.6 million for various amplifier and switch products, most of which we received in Q1, and we are cautiously optimistic about future orders based on what we have observed publicly about the strong support for this program. We believe that we continue to benefit from our status as the largest independent provider of high power broadband solid stand amplifiers in the market. We sell to prime contractors whose end market system applications include the defense sector for jamming communications, radar and IFF, commercial aviation for air to satellite to ground communications, medical equipment for oncology treatment systems and various other industrial applications. We believe that our broad product offerings, proven track record for quality and reliability and high volume production capabilities are clear and compelling differentiators for us in this segment. Now back to Fred, who will provide our guidance for fiscal 2008.
Fred Kornberg: Once again, as I have stated before and will restate again today, our ability to provide revenue to and EPS guidance accurately is dependent upon a number of factors, many of which are beyond our control. These factors include but are not limited to the timing of bookings and related revenues in large contracts, the uncertainty, particularly in today’s environment regarding US Government funding priorities and budget constraints and three the economic conditions in general. That said, I will provide updated guidance as I have done in the past on a GAAP basis, which includes amortization of stock based compensation as well as on a Non-GAAP basis which excludes amortization of stock based compensation. With that in mind, we are increasing our fiscal 2008 revenue guidance to arrange a $515 to $530 million from our previous September guidance range of $500 to $515 million. We are also increasing our estimated Non-GAAP diluted earnings per share for fiscal 2008 to be in the range of $2.70 to $2.82 from a September guidance of $2.72 to $2.78. I should also point out that our revised guidance assumes approximately $.09 worth of additional R&D spending from what we assumed in our September guidance. This rise in our R&D spending is due to our ramped up efforts on key and existing programs and technologies, in fact, despite the significant increase in sales forecasted for fiscal 2008 R&D as a percentage of revenue is expected to increase to approximately 8%, a solid tangible investment in our future. The Non-GAAP EPS guidance equates to a GAAP diluted EPS range of $2.53 to $2.58, again, as compared to our September guidance of $2.48 to $2.54. As I stated earlier our strong Q1 results and the underlying strength of our business provide me with great optimism about the future of Comtech. We are generating these strong results and at the same time increasing significantly our R&D spending to ensure that we remain market leaders in the segments we operate in. While our first priority is the organic growth of our core businesses, we do continue to actively pursue an acquisition strategy to also add additional future growth. Once again, fiscal 2008 is well on its way to becoming another record year for Comtech, our sixth year in a row. Now, we will be happy to take your questions.
Operator: [Operator Instructions] We’ll take our first question from Richard Valera, go ahead sir.
Richard Valera – Needham & Company Inc.: On your Over the Horizon discussion, I think you alluded to a second $40 million potential type of award, can you describe that, I think that is something in addition to the potential award from your North African customer is that correct?
Robert Rouse: Yes, let me clarify also quickly Rich, when Fred went through the Non-GAAP earnings per share it is $2.77 to $2.82 it is a five cent range just to clarify that in case it was unclear. On the Over the Horizon side, yes we have two opportunities with the same end customer but they are with two different prime contractors, one of them is kind of the continuation of the order related contract that we have been talking about for some time, the other one is unrelated to that but with the same end customer country wise. We have two of the, as I said it is possible that we could book both of them this year, it is possible maybe one of them shifts into next year, we are pursuing two fairly sizeable opportunities with that end customer.
Richard Valera – Needham & Company Inc.: In your discussion of Mobile Data, you mentioned you thought that the second quarter would be the peak revenue quarter for Mobile Data, this year, do you expect it will be the peak overall revenue quarter for Comtech as well this year?
Robert Rouse: Just given the fact, again, when you look at the bookings as I mentioned $159.5 million just in that segment in one quarter it is obviously going to drive a lot of revenue in the quarter after that and as we said before the Mobile Data Com business can be lumpy in that regard and that timing does vary between years. Each year the peak quarter can be a different quarter within the year, so, given the significance of Mobile Data Com to our total revenues I think that would be a fair assumption as well, just given the amount of backlog that we have going into the quarter.
Richard Valera – Needham & Company Inc.: With respect to the increase in R&D spending, obviously, you are sort of in a competitive situation on the Blue Force Tracking front and its sounds like you are spending pretty aggressively to upgrade your offerings. Can you give us a sense of where you think things stand and what kind of timeline we might see in terms of how that competitive situation plays out at Blue Force Tracking?
Robert Rouse: I think what we are trying to do here, Rich, is try to get our solution in front of the customer as quickly as possible, I don’t want to go into specific tactical timeline type things for obvious reasons, but some of the technology that we are spending on now are things that are going to help us throughout that segment not just as it relates to this product, in terms of throughput, density and things like that. All I can tell you right now is we think we are on track to have a product or solution in front of the customer on a timeline that is consistent with what they are looking for at this point. Tactically we wouldn’t want to discuss it beyond that.
Richard Valera – Needham & Company Inc.: One quick one for me, RF Amplifiers, the margins were a little bit lower despite the higher revenue and you mentioned apparently, sounds like you are getting used to production of certain new production technologies, do you think that as you come with the learning curve there that the margins in that RF Amplifier business should improve throughout the year?
Robert Rouse: I think there is what you are going to see happening is that we do have a few newer type technologies that are going through the plan now and they’ve been delivered, let’s say, over the last three to six months and will continue during the year, and those contracts the margins are obviously what they are, that will continue during the year, obviously if we get any add on work with those customers we would hope to be past the growing pains, if you will, of some of the newer technology there. I would expect the margins overall for that business for the full year to be a bit lower than they were last year.
Richard Valera – Needham & Company Inc.: Thank you.
Operator: We’ll take our next question from Tim Quillin, go ahead sir.
Tim Quillin – Stephens Inc.: Rob, could you go through the backlog by segment please, I know you provided the Amplifier already?
Robert Rouse: Sure, the Amplifier as I said Tim was $47.8, Tel Com was $54.3 and Mobile Data was $146.9. I’ll also point out that if you do the math you could obviously calculate the bookings by segment and when you calculate the bookings by segment the Tel Com may not look that impressive but keep in mind our Over the Horizon bookings in the quarter were virtually nothing, as we wait for these large jobs. Really, almost all of our bookings in the first quarter were the Satellite Earth Station business and they were very impressive.
Tim Quillin – Stephens Inc.: Yes, exceptional bookings there. Can you just comment on any economic sensitivity that you might have with that Satellite Earth Station business, clearly you are not seeing on the bookings yet, but if we have a global economic slow down what do you think happens with that business?
Robert Rouse: It’s really, Tim, more tied to the Tel Com infrastructure build out, for example, right now as you know we are focused let’s say in the cellular back hold area where in many part of the world infrastructure is just starting to be built out, could that be somewhat tied into economic activity, possibly. It’s infrastructure for the future that we see continuing for many years, keep in mind that in that business we are very small percentage of our business is with domestic US customers, because obviously in the United States we have a robust terrestrial and wire line infrastructures. I don’t see it directly impacting it, but obviously if there is a complete international global economic meltdown that impacts what a lot of people do. As you can tell from the booking we are not experiencing any of that at this point in time.
Tim Quillin – Stephens Inc.: What’s the capacity to shift in the Mobile Data business, the bookings were very strong and you expect a strong quarter in terms of revenue in 2Q but how much can you shift in a given quarter?
Robert Rouse: All I can say is that we are at capacity even at this level with some of that spiking in Q2 is just not an issue for us.
Tim Quillin – Stephens Inc.: On the Amplifier margins, is this related to CREW 2.1 or is it something different?
Robert Rouse: It’s something different, there are a bunch of other newer, higher power type jobs we have going through the plant that have had some learning curve associated with them. Certainly in terms of the first few batches of CREW, we made a bunch of investments there, obviously as CREW 2.1 were to ramp up we would expect to do better in higher volume in the learning curve behind us. Some of it is CREW 2.1 but there are other programs in there as well.
Tim Quillin – Stephens Inc.: Lastly, on the export licensing issue, outline a worst case scenario there if you could?
Robert Rouse: I would just point, obviously as we say in there it relates to a $2 million potential shipment here, I think the 10-Q provides a good summary of what’s happening and as you know the export laws and regulations, especially for some of our technologies dual use are extremely technical and complex but we’ve done a pretty full review of this and believe that we’ll be able to demonstrate our employees made a good faith effort to comply with the rules and we’ll be discussing with them in the months ahead and we’ll see where we come out. Given the nature of it I really don’t want to comment much beyond what’s in our 10-Q at this point, to just point out that the size of it and that we are taking it seriously and doing an investigation and believe we took every step that we could to try to make a good faith effort there to comply.
Tim Quillin – Stephens Inc.: Thank you, great quarter.
Operator: We’ll take our next question from Tyler Hojo, go ahead sir.
Tyler Hojo – Sidoti & Company: My first question, just in regards to a follow up on the subpoena related to Brazil, what kind of maybe legal expenses is contemplated in your updated guidance as we progress through the fiscal year?
Robert Rouse: Tyler I don’t want to go through that, they are not of a material enough nature where they are going to impact your model for the year. We obviously, given the matter is ongoing, have some baked in there for Q2 but they are not going to drive, when you look at our guidance for the year, the numbers one way or the other, in terms of the legal expense side of it.
Tyler Hojo – Sidoti & Company: One more on that topic, have you guys run into issues similar to this in the past, and if so, how did they play themselves out?
Robert Rouse: Certainly not in recent years, Tyler, we have not run into any similar issues.
Tyler Hojo – Sidoti & Company: That’s fine. Going back to the RF segment I was kind of curious, I guess I can understand why margins are coming down a little bit but I guess a little bit longer term, are kind of the mid teens type margins that you saw back in 2005, 2006. Is that a level that is not attainable for the future or maybe if you could just walk us through that.
Robert Rouse: Are you talking operating margins? I think that is certainly a goal we shoot for and I think in the longer term it is achievable I think in order to achieve that we’ll have to have a few programs that are in a real production stage that are kind of more normalized. The last year and a half, Tyler, we have a lot of, obviously, in doubling in size over the last couple years we’ve had a lot of new technologies, new development programs in there which have brought it down somewhat. I think it’s possible that we can get back to that level, I don’t see it for the full year just based on where we were for the first quarter and some of the programs that are going though the plant right now are going to carry those margins with them until the end of the program. For this year, I would say that would be a bit of a stretch but going forward you bet, that is what we are shooting for.
Tyler Hojo – Sidoti & Company: In terms of the R&D, I guess, certainly understandable that there are some additional costs specifically on the MTS and the Blue Force Tracking, but I guess what I’m curious about is at what point do you think that the R&D starts backing down, do you think that well into 2009 or how do you look at that?
Robert Rouse: As I said it to, I think it was Rich earlier, some of the R&D we are doing as it relates to the Blue Force Tracking, we are trying to get the customer everything they could possibly ask for so we are accelerating our normal R&D but at the same time we want to continue to grow and to continue to grow we are going to have to continue to invest in our technology so what I would hope happened is our R&D spending in 09’ is, assuming we grow, continues to go up. That’s the investment we need to make to continue on that trend and as Fred said almost all of our growth has been organic over the past few years so as long as that top line is growing, we are introducing new products and as you can see our gross margin also went up in the quarter. It’s going to be very situational Tyler, so I would like to think that we will continue to spend more in R&D going into next year, obviously it would be a bit lower percentage given the higher sales if we were to continue to grow but we really need to continue to look at it based on the situational basis as it relates to where we are in a product lifecycle. That’s just the investment we need to make to continue to grow.
Tyler Hojo – Sidoti & Company: I know last quarter you guys had thought that R&D spending would taper down a little bit, I guess what changed in the last three months since we’ve had that conversation on R&D, I guess now you are looking at more of an $11 million type run rate as opposed to maybe a little bit lower than $9.5.
Robert Rouse: There are certain new activities we’ve launched; we are trying to take a little bit of advantage of the higher margin we are generating to reinvest quicker. There are certain discrete project in the Mobile Data Com area that we’ve really accelerated again to try to be as responsive and as possible to our customer. Again, I don’t want to go into specific R&D projects that we are working on but I think as I said as long as we can continue grow the revenue we are going to make those investments that we see appropriate. If we are able to accomplish everything that we need to earlier on in the year, might we tail it off at the end, possibly, but there could be a new R&D project. The numbers that Fred went through there are where we see what we need to accomplish this year based on the guidance we told you and position us well for next year which is my primary focus right now.
Tyler Hojo – Sidoti & Company: Very good, thank you.
Operator: We’ll take our next question from Mark Jordan, go ahead sir.
Mark Jordan – [Not Given]: A quick question on Tropo you had stated on the last call that you were also trying to market to other customers in other countries. Could you update us on where you are on that endeavor? Secondly, do you see any effective competition in the marketplace as you start broadening your net?
Robert Rouse: On the first point, as I said last time, there are certainly more opportunities that we believe are out there but as I also said these international opportunities do take time. This isn’t just a hardware sale, there is an education process you know as I would say what is Tropo. All I would say there is to reiterate my pre-prepared comments we continue to make progress but there is nothing at this point I want to talk about publicly just given the fact that they do tend to take some time. There is nothing we have baked into our 08’ numbers but we think in 09’ and 10’ that we would be disappointed if we didn’t break through to at least one of two new markets. In terms of competition, we really don’t see that in a big way, I know there was another company out there that has talked about making a few sales in the like, but we really haven’t seen it be a big factor for us at this point in time.
Mark Jordan – [Not Given]: I guess back to the Brazilians issue, can you talk about the specific product group that this was in, was it a Tropo related and secondly, it was a $1.9 million piece of business; I don’t think I saw that announced?
Robert Rouse: First of all Mark, this was a satellite based offering and it was announced, I believe as part of Mike as part of a…
Mike Porcelain: I think we did issue a public press release earlier in the year.
Robert Rouse: It might have been even at the end of 06’.
Mark Jordan – [Not Given]: Given the fact that you do extensive work internationally in the satellite arena, what is it that caught the eye of the regulators about this specific issue?
Robert Rouse: On that point, Mark, just try to appreciate the fact that we are trying to investigate it, we think we tried to make the good faith effort. I really don’t want to go into the specific nuances of the issues at this point in time. It is something we are still looking at but as we said in our 10-Q we took a good faith effort to get it right and we will be able to demonstrate that point.
Mark Jordan – [Not Given]: Final question in the 10-Q when you talked about inventories you stated that you had a couple of million dollars of inventories related to a contract manufacturing relationship you had with third party, could you give a little color in terms of how significant that is and is there something that has some opportunity to grow over time?
Robert Rouse: At this point in time it’s really not that significant a revenue stream for us, Mark, but what we have been trying to do as you know, we’ve tried to really use our BF Data facility out in Arizona as kind of a manufacturing center of excellence for us, in fact, if you look at our 10-Q you’ll see that most of our manufacturing of our Mobile Data Com products is done out there. We even have components in our RF Microwave Amplifier done out there. We have some Tropo modems done out there, so given the core competencies that our team has developed out there, there is no reason why we can’t provide similar work for other companies. We are just starting to work on the area at this point, but up until now it hasn’t been a major revenue driver for us.
Mark Jordan – [Not Given]: Thank you.
Operator: We’ll take our next question from Jim McIlree, go ahead sir.
Jim McIlree – Collins Stewart: You talked about MTS funding and I just want to make sure, are you including the global war on terror funding and potential MRAP of related MTS in your guidance?
Robert Rouse: No, Jim, let me just walk through it just to make it clearer for you. First of all as far as MRAP goes, MRAP is a separate funding bucket, we don’t even see, it’s impossible for me to quote those numbers, we don’t see them, so the $273 million that I referred to earlier is actually in the Army budget I identified as MTS. As you may know, right now, President Bush and Congress are kind of at odds as to the conditions that he will be willing to sign the budget under. So, the baseline budget, the $73 million, that has been appropriated, but the $200 million of funding in the global war on terror, the supplemental if you will, that’s identified specifically for MTS, no one at this point seems to have an issue with. What Bush is fighting about now is the terms, for example, when we are going to withdraw troops from Iraq, the definition of torture, those types of things, why the budget is not completely signed yet. What I meant to say in my comments is that our revenue guidance for the rest of the year doesn’t include anything in there for the $200 million that’s in the global war on terrorism at all. It only includes a pretty modest amount related to the $73 million in base funding because some of that we may receive too late in the year to recognize revenue. If the entire $273 million budget were to be approved, we are only assuming a piece of the $73 million actually gets recorded as revenue in fiscal 08’. We view the 08’ budget as more a driver going into 09’.
Jim McIlree – Collins Stewart: That’s very helpful. You talked about Q2 this year being a peak in the Mobile Data, does that imply that there is a big fall off in the second half or is it just a modest fall off, or you peak at Q2 and flatten out after that?
Robert Rouse: When we say peak, it’s a peak within the year. When you have $159 million in bookings in Q1, no matter how they run out after Q2 is going to have more than any other quarter. I don’t say they are going to fall off the cliff so to speak but I don’t expect them to be as high as Q2. The only way that could happen would be if the entire budget was approved and they decided to accelerate some of these orders which we are not baking in at this point in time. From our understanding, it may take some time for the budget to work its way through the debate going on between the President and Congress. It just wouldn’t be prudent at this time to do that. I would expect Q2 to be higher and then Q3 and Q4 are just going to be derivatives of how much of a peak are in Q2.
Jim McIlree – Collins Stewart: So of that $159 million, I assume that you shipped part of it in Q1?
Robert Rouse: Yes.
Jim McIlree – Collins Stewart: Are you saying that most of or over half of the remaining would be shipped in Q2? I am just trying to get a feel for when you talk about peak Q2 and up substantially, what that commentary means?
Robert Rouse: I understand, Jim. Again, we are trying to avoid the quarterly; trying to focus more on the year. Some of it was shipped in Q1 and there are pieces of it that do have schedules that go out to Q3 and Q4, but it’s a meaningful peak. I don’t want to get into specific revenue estimates by quarter, but it’s meaningful.
Jim McIlree – Collins Stewart: I will just try to beat the R&D horse a little bit more. When you talk about growing throughout the year, you are talking about this $11 million level staying at that $11 million and rising, or kind of flattening out at this $11 million for the rest of the year?
Robert Rouse: I would anticipate that it will be on or about that level for the full year. If you look at it on an annualized basis, I think if you annualized that number, you should be within $2 million or $3 million of that estimate for the year.
Jim McIlree – Collins Stewart: Does the guidance contemplate any sort of stock buyback?
Robert Rouse: It does not.
Operator: Your next question comes from Michael Connelly.
Michael Connelly : As it relates to the telecom transmission business, it sounds like you have got some new products that are opening the door for the U.S. market and your sales have been predominantly overseas on the commercial side. What are your expectations from domestic telco sales going forward, given some of these new products?
Robert Rouse: Mike, in the Earth Station product line, our key markets are really international for commercial and then U.S. government on the domestic side. The need for satellite domestically in the U.S. is somewhat limited by the fact that most people are using wireline or terrestrial wireless infrastructure. We don’t see that as a huge market. Our primary customers are there; our customers who, like DirecTV, are using our equipment to send out broadcast type of content. The exciting thing about some of our new products, I would use two areas as an example. In the commercial area, in the cellular back haul area carrier-in-carrier for example basically enables them to be 50% more efficient. That’s a very, very compelling ROI model that we could sell to our commercial customers. The same thing applies for the DoD. They look at it a little bit differently and they are less concerned about the cost than they are if we can get 50% more through the same pipe. So, when you are talking about that type of proposition to a customer, be it commercial or defense, it’s very, very compelling. I think the bookings numbers that I pointed to earlier really solidify our view on that.
Michael Connelly : It seems like there is a big push for broadband access on all new commercial aircraft business jets. Do you think that strong demand plays into your product sales in Earth Station?
Robert Rouse: The area there where we would have the most connectivity is in our RF microwave amplifiers group we do sell amplifiers that are used in part of air to ground communications and we do sell to some of the larger avionics type of companies that sell into the large and small aircraft markets. But again, in the context of our overall revenues that’s not a major, major chunk of our revenues but it certainly would drive revenue within that segment.
Michael Connelly : Shifting to MTS, you talked a little bit about the [M-wrap] and it seems like that program is coming under some pretty intense scrutiny. I don’t even know if you’ve taken this outlook in terms of the joint light tactical vehicle or some of the unmanned ground vehicles, how might that affect the MTS segment?
Robert Rouse: For us Mike as I said earlier, we are not focused directly on M-wrap. M-wrap is a program that could use our technology, so any vehicle that could potentially need satellite as a backup channel when terrestrial isn’t available would be a potential opportunity for us. But again, there we are not selling necessarily directly to our normal customers. We would be getting orders from other commands that were responsible for funding the M-wrap. Anything in that area that we were to accelerate would help us, but we have less visibility there.
Michael Connelly : Finally, in terms of your revenue guidance, I assume that doesn’t include any of the opportunities related to the North African customer or any of the other OTH opportunities?
Robert Rouse: That’s right. That includes zero revenue from any new international customers. That’s correct.
Operator: Your next question comes from Tim Quillin – Stephens, Inc. Go ahead, sir.
Tim Quillin – Stephens Inc.: I can’t believe you almost got through this conference call without talking about uses of cash. Can you talk about where you are in terms of the acquisition pipeline and what’s your posture is regarding share repurchases as well? Thank you.
Robert Rouse: Tim, I think we are in the same place we were at the end of last quarter. I think the pipeline is a bit more robust than it was three months ago but no definitive decision has been made in the buyback area. We are continuing to look at it, but there are M&A activities that we are actively looking at.
Operator: Your next question comes from Jim McIlree – Collins Stewart.
Jim McIlree – Collins Stewart: On the Track 170, in addition to what you got this morning you are expecting further orders throughout the year, is that correct?
Robert Rouse: That’s correct, Jim.
Jim McIlree – Collins Stewart: Does that just get you a flat Track 170 year or is that ramping for them yet?
Robert Rouse: Given that last year was a strong year, if you look at the numbers they did about half of the upgrades last year and I would not expect that particular opportunity as it related to the modem upgrade kits to ramp this year.
Operator: We appear to have no further questions at this time, sir. I will turn it back to Mr. Kornberg.
Fred Kornberg: Thank you very much for your interest in Comtech and we certainly look forward to speaking with you again soon in three months and the next quarter. Thank you so much for attending.